Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Fourth Quarter 2018 Earnings Conference. [Operator Instructions] And as a reminder, this conference is being recorded. I would now like to turn the conference over to our host, Peter Trpkovski. Please go ahead.
Peter Trpkovski: Thank you, Tania. Good afternoon everyone and welcome to the conference call. I'm joined today here by Mike Bless, Century's President and Chief Executive Officer; Craig Conti, Executive Vice President and Chief Financial Officer; and Shelly Harrison, Senior Vice President of Finance and Treasurer. After our prepared comments, we'll take your questions. As a reminder, today's presentation is available on our website at www.centuryaluminum.com. We use our website as a means of disclosing material information about the company and for complying with Regulation FD. Turning to Slide 1, please take a moment to review the cautionary statement shown here with respect to forward-looking statements and non-GAAP financial measures contained in today's discussion. With that, I'll hand the call the Mike.
Mike Bless: Thanks very much Pete. And thanks to all of you for joining us late this afternoon. If we can turn to Slide 3 please we'll get going. Just I’ll make a couple of quick comments about the macro environment before we get into the quarter and some of the other information. Commodity markets in general obviously continue to look for direction. This is certainly true of our markets. The issues in our market are generally consistent with all the other factors you're seeing out there in terms of the global economic uncertainty, whether it's slowing growth in China caused by trade tensions or other factors, geopolitical uncertainty, and we've got Brexit, Middle East, Iran, other factors, again all this. And the direction of U.S. interest rates, of course, the pronounced knock on impact they have on commodities prices.  Recent trends on these matters have been generally positive as you've read over the last couple of weeks. That said, I think we can all agree the situation is highly changeable. And in that respect we're managing the company with what we feel is an appropriate degree of caution. Pete in just a minute will give you some more specific trends in our sector, but in a nutshell, the fundamental conditions are encouraging. The 2019 global deficit in primary metal will be at least 1.5 million tonnes, that's similar to the 2018 deficit. The forecast backing up that deficit assume only nominal demand growth in China and in the rest of the world. So we see more upside risk to that deficits and downside. The supply growth remains muted and inventory inventories continue to come down throughout the supply chain. It's especially important during these uncertain times that we maintain the stability of our plants. And our operations people have done a great job in this respect. Safety performance has been exceptionally good over the last quarter or two. Production metrics and efficiencies in the plants have been consistently favorable. We've seen very tight management of controllable costs. And I'll give you some detail by plant on all of this in just a couple of minutes. Craig is going to give you a lot of detail on financial performance in the fourth quarter and as usual in this call our expectations for 2019. But in summary, I think, you'll see the fourth quarter performance came in just a bit better than we had forecast when we talked to you last. As we expected the financial results were burdened by the continuing of normally high realized the alumina price by a metal price that generally fell throughout the quarter. These trends will continue in the first quarter as you know. We've talked about this at some length. As you know our realized aluminum costs i.e. flowing through our P&L are based on prices we paid some three months ago. So the recent fall in the price will only be reflected in our reported results beginning in the second quarter. Then it's important for you to understand you'll get this once you run your numbers based on the information that we have in the slides here. It's important for you to understand that beginning of the second quarter EBITDA will be positive even at spot commodity prices. That was even true before the run up in the LME that we saw today. And in addition, cash flow will no longer be burdened by the very high spending on the Hawesville restart. Bottom line, financial performance will begin to improve in Q2, again, Craig, will give you some more detail on this. And again that even assumes no change in current conditions, i.e. no change in a very high current alumina price. And when that price does return to its normal fair value and it will, obviously the financial results will improve significantly. The same time the company's liquidity remains strong. Again, I'll stop here and when I turn it over to Craig, he'll give you lots more on all this. Moving along, the restart of the three lines at Hawesville has been almost unconditional success. Most gratifying has been the exceptional safety performance. And I can't emphasize enough for those of you who know about a process like this, how complex it is. It involves the removal, rebuild and reinstallation of 330 individual reduction sales, a myriad of associated capital projects. All of this is occurring in close proximity to two pipelines that are fully operational. And this is a real testament to operations management, the success here. We couldn't be more proud of those folks. The project has also been completed according to budget and slightly ahead of schedule. And so the next decision will be the timing of the rebuild of the two lines that have never ceased operating. As we've told you these have been for at least the last two years, well past their expected lives, our intent remains to take one of these lines out of service for rebuild during the next month or so. The three new lines had been performing very well, but we want to just make sure that we can maintain some stability for a modest period of time just to mitigate any risk. We also need to complete the hiring process of five full line operation to get the plant to full capacity. We require about an additional 100 folks and obviously we want to get a little bit better picture of where the aluminum markets may be heading. Craig will give you a picture of what all this means from a production and cash flow standpoint in 2019 in just a couple of minutes. Moving along, as you saw a couple of months ago we announced we reached an agreement on the extension of the power contract from Mt. Holly. It's essentially a carbon copy of the arrangement we've had in place for the last two years. So those of you who follow the company are familiar with it. 75% of the power that we take is off system from natural gas generation, the remaining 25% we continue to be required to take from the local supplier. The weighted average pricing remains uncompetitive. The market power is quite attractive. If we were able to get to market power, the price we pay at Mt. Holly would be in the attractive part of the second quartile on the global power cost curve the smelters. The problem remains that the level power comes at more than double the price of the market power and we continue to be forced to pay a second transmission we all took a local supplier. We're obviously quite disappointed we couldn't get to a full break through at this point in time. This is the only issue to remind you that stands in the way of restarting the second potline and bringing the plant back to full production. For those of you who follow this issue you know that the environment relating to the local power supplier remains highly complex and changeable. And so we're monitoring events and looking for the right timing. Lastly, the company continues to have really good opportunities to increase our share in value added products markets. In most cases, we already possess the required production equipment and we certainly have the technical expertise to grow in these markets. You saw a tangible example of this development a couple of months ago when we announced the expansion of our billing capacity at Sebree. This did require the startup of some mothballed production equipment and hiring of several dozen people for the casthouse there. It is a great development for this excellent plant. And we're looking for more opportunities at Sebree and at the other plants. We continue to work with a variety of customers and trialing new products. And we're confident this will continue to produce incremental value-added margin over the years to come. Lastly, one quick comment on the industry structure before I turn you over to Pete to talk about the industry. As you know, a significant amount of surplus on economic capacity continues to produce around the world. Those of you who had a chance to read the recent comprehensive OECD report, know that it confirms the position that we've long maintained. And for those of you that haven't, that follow the sector, I'd highly recommend that you read it, or at least the executive summary of it. It concludes, again as we've been saying here, the last couple of years, that most regions of the world are providing support, which is encouraging, sustained, uneconomic and unnecessary production of primary aluminum. It's clear the issue won't go away by itself. It must be addressed by the state after fostering these imbalances. And in this environment the U.S. administration's response remains critical and highly appropriate. The remedy needs to remain in place until global overcapacity is solved. And this means all participants need to be subject to either a tariff or a quota. To us it's difficult to understand how anybody who has objectively read that OECD report could come to a different conclusion. And with that I will turn it over to Pete.
Peter Trpkovski: Thanks Mike. If we can move on to Slide 4 please, I'll take you through the current state of the global aluminum market. The cash LME price averaged $1,968 per tonne in the fourth quarter, which reflects a 4% decrease from Q3. Aluminum prices have averaged approximately $1,850, five zero per tonne thus far in 2019 and are currently sitting just north of that. In the fourth quarter regional premiums average approximately $0.195 per pound in the U.S., down 6% quarter-over-quarter and approximately $130 per tonne in Europe, a 16% decrease from prior quarter. Spot premiums are around $0.194 per pound in the U.S. and $0.130 per tonne in Europe. In the fourth quarter of 2018 global aluminum demand grew at a rate of 1% as compared to the year ago quarter. The primary driver of this is the slowing growth in China, just 2%, as compared to the year ago quarter. Global production growth was up a modest 2% in the fourth quarter versus the same period last year. This was driven entirely by increases in China, which was up 4% year-over-year despite slowing growth and additional winter heating season cuts. As a result of these supply and demand trends, for the full year 2018, the global aluminum market recorded a deficit of approximately 1.5 million tonnes. Looking forward, for the full year 2019 we expect to see a similar global supply deficit of approximately 1.5 million tonnes. As Mike mentioned, the main difference we are seeing is the balance China market and the rest of the world supply deficit of 1.5 million tonnes. This continued supply should result in continued docking of inventories and support LME prices over the long-term. With that, I'll turn the call back to Mike.
Mike Bless: Great Pete thanks. If we could just turn to Page 5 please, a couple of quick comments as promised on the operations before I turn you over to Craig.  Safety performance first and foremost, as I said, generally was very good over the last couple of months and into 2019. Again one more time especially noteworthy is the performance Hawesville. This performance was a result of a huge amount of forethought and planning before the project began. The team deconstructed all of the processes and identified the high risk areas. They significantly expanded the training program, especially for new hires and they really did maintain rigorous attention to detail during the implementation. The results have been really gratifying. We suffered no serious injuries during the year and the few incidents we did have, immediate action was taken and the plant ended the year on a high note, which has continued into 2019. Moving down the page, production volumes, as you can see, evidence of a stable operation. You see the return of Sebree to full production for the entire quarter. As you remember, we completed the restart of that third potline in August. You see the significant growth coming on at Hawesville due to the restart. Obviously to put Hawesville’s status in perspective, if you were to take the December monthly volume and annualize it, you get an annual run rate of about 150,000 metric tonnes. So you'll see another quarter meaningful growth at Hawesville. And as I said, we do need to decide when we start the rebuild of the line we intend to take down very shortly. Production metrics, as you can see, all stable. We had nice improvement in current efficiency and power efficiency at each of Grundartangi and Sebree during the quarter. And lastly, we had really good performance of controllable expenses. The operations teams I can say are doing a really responsible job on keeping a tight control of their costs. At Grundartangi that improvement came mostly in the areas of labor and maintenance Sebree, what you see there is largely the result of the volume coming back to full production. Remember these are per metric tonne data, so you will get a denominator impact there I guess I'd say rather than a numerator impact. Same factors as part of the story of Hawesville, you see the production volume in essence catching up to the necessary building, labor and other controllable costs that we had to put in earlier in 2018 as we began the restart. And in Mt. Holly that was a decided action after the finalization of the power contracts, we made a conscious decision to catch up on some deferred maintenance items in several important areas of the plant. Strategy here is to invest in Mt. Holly where possible, to maintain that plant for the eventual day when we can restart the second potline. With that, I'll turn it over to Craig.
Craig Conti: Thanks Mike. Let's turn to slide 6 and I'll take you through the high level results for the fourth quarter. On a consolidated basis, growth in shipments up 9% quarter-over quarter driven by the return of Sebree’s full production and Hawesville restart as Mike detailed earlier. Realized prices were down 7% as a result of lower-lagged LME prices. Looking at operating results, adjusted EBITDA was a loss of $18 million this quarter and we had an adjusted net loss of $41 million or $0.43 a share. In Q4 the primary adjusting items were $4.3 million related to the Sebree equipment failure and $29.1 million for net realizable value inventory adjustments. Let me give you a little detail on the Sebree adjustment. As a reminder, we expect a fully recover of all losses from our Q2 line outage from our insurance policies net of f$7 million deductible. As we mentioned in last quarter, we will continue to call out the associated P&L impacts and cash receipts as they occur. In Q4 we incurred about $4 million of Sebree restart related costs. We also received about $8 million worth of initial payments on our overall insurance claim, netting to the $4.3 million adjusting impact for the quarter. Our liquidity remains strong with $196 million of funds available via a mix of cash on hand and revolving credit facilities. As expected during Q4, our cash balance decreased by $34 million primarily as a result of continued investment in the Hawesville restart. I will share more Q4 detail on the cash bridge shortly. Availability under our revolving credit facilities is solid at $157 million. This is down $14 million from Q3 to Q4 primarily as a result of some additional borrowing at year-end and a seasonal increase in power letters of credit as we went into the colder months. Our credit facility was fully repaid in January upon receipt of one of our largest customer payments that is due shortly after quarter-end. Okay. Let's go to slide 7 and I could walk you through our quarter-to-quarter bridge of adjusted EBITDA. The $47 million decrease versus Q3 adjusted EBITDA of $29 million was largely driven by lower LME prices in regional premiums as we forecasted on our last call. On a lag basis, LME was down $175 a tonne and the U.S. Midwest premium was down $20 per tonne, which in sum drove $38 million of decreased EBITDA during the quarter. Seasonal power price increases and investments related to the Hawesville restart drove the majority of the remaining EBITDA decrease versus Q3. Looking ahead to the future, it's important to point out that alumina prices have dropped significantly in 2019 from our Q4 realized price of $500 per tonne to $380 per tonne at current spot prices. That $120 per tonne reduction in Alumina equates to a $230 per tonne decrease in aluminum production costs. As a reminder, alumina impacts our P&L on a three month lag, so we will see the favorable EBITDA impact of this cost reduction beginning in Q2 as Mike pointed out earlier. Looking ahead the Q1 specifically the lag LME is down $130 per tonne and both the lag U.S., Midwest and European delivering premiums are down about $30 per tonne each. These three items translate to a decrease of $30 million to $35 million in EBITDA from Q4 levels. We expect our realized aluminum price to be approximately $500 per tonne in Q1 which is largely flat with our realized price in Q4. So as a result of lower realized selling prices and flat realized alumina costs, we expect to see a net decrease in Q1 EBITDA of $30 million to $35 million. Okay, let's turn to slide 8 and we'll take a quick look at cash flow. We started the quarter at $73 million in cash and ended December with $39 million. During the quarter, we had $28 million of spending associated with Hawesville restart and we spent $7 million for all other company wide CapEx. Again on Sebree we received an advanced payment on our insurance claim of $8 million, which was offset by $4 million of restart spending for a net cash inflow of $4 million. As usual in the fourth quarter, we made a provisional tax advanced payment for our Iceland business and remitted our normal semi-annual bond interest payments. Each of these items were an outflow of $9 million. As I mentioned earlier, we had $9 million of additional borrowings on our revolver during the quarter and while this was outstanding at year-end, this facility was fully paid down by mid-January. Finally, we saw marked improvement in working capital in Q4 which helped to generate $23 million of cash. The improvement was largely driven by a reduction in inventory. Let's turn the slide 9 and I'll give you a quick overview of some highlights from 2018. As I mentioned in last quarter, 2018 was a transitional year for Century and an active year for the industry overall. The Section 232 tariffs effectively helped level the global playing field and drove our decision to restart 150,000 tonnes of annual capacity at Hawesville. The restart project is on budget, on schedule and will be completed in early 2019. We reached a new five year labor agreement at our Sebree plant. This was completed a year ahead of schedule. Alumina supply outages, most notably Alunorte in Brazil caused alumina prices to reach historically high-levels. Averaged over the year, the alumina price as a percentage of LME was 22% versus a more normalized level of 17%. Despite the headwinds in the raw materials markets, we achieved a total year adjusted EBITDA of $86 million. As we have done in previous years, we would like to provide you with a tool to forecast our business in 2019 from the cash and EBITDA standpoint using the commodity prices of your choosing. To that end let's turn to page 10. The next several pages will be split between Q1 and Q2 through Q4. The reason we are making this distinction is most evident as you consider where we expect aluminum pricing to be throughout 2019. It's important to note that the vast majority of the improvement we are forecasting in aluminum prices for the back three quarters of the year is already reflected in the current spot index price. The Q1 realized alumina prices you see on the slide reflect the high prices from late last year due to our lag pricing impact as we discussed earlier. Midwest and European premium assumptions are relatively flat throughout 2019. We expect power cost to decline slightly during the year as compared to Q1 representing normal seasonality. Coke and Pitch, the two key raw materials used in our carbon anode production are expected to be largely flat from Q1 levels throughout 2019. As a reminder, in the appendix of today's presentation, we have included an updated view of the key EBITDA sensitivities analysis we have discussed in the past. These sensitivities can be used as a guide to understand how the movement of key input and output prices impacts our business over the calendar year. Okay. Let's turn to page 11 and I will take you through the first of two pages we have prepared to give you some further insight into 2019. We expect our 2019 shipments to be about 850,000 tonnes or about 100,000 tonnes more than 2018, largely attributable to the incremental impact of restarted lines in Hawesville. Our assumption for the revenue pricing lag remains relatively unchanged from 2018 and that we continue to expect a roughly two months lag in both the U.S. and Iceland. Our value added premium is expected to be about $200 per tonne worldwide. Please note that this is expressed as a value over the premium tonnes themselves not overall tonnes produced. Power similar to previous years with our Kentucky smelters using market based Indiana Hub price contracts and Mt. Holly using Henry Hub based natural gas price contracts for 75% of the current production level. Alumina and carbon components will continue to flow through our P&L on a two to three months lag while on a cash balance – while on a cash basis, alumina will flow through on a one month lag and carbon components with virtually no lag. The bottom two sections of page 11 show our plant cash costs and net plant cash costs. The net cash costs are presented on a basis that it's directly comparable to the LME. Please know that we have provided a bridge from our gross to net plant cash cost in the appendix of today's presentation. The cash cost reduction from Q1 to the back portion of 2019 is largely driven by the alumina cost reduction I’ve mentioned earlier. The net plant costs shown in the final box on the slide include the benefit of all premiums and exclude interest, CapEx and SG&A. Turning to page 12 I will cover some of our other costs assumptions or our cost expectations for 2019. SG&A will be $41 million on a book basis, while only $33 million on a cash basis. Interest cost will be $22 million on a book basis and $21 million on a cash basis. Our CapEx is expected to be in the range of $10 million to $15 million for maintenance related spent and $20 million to $25 million for investment related spent. Our major planned investment items include the rebuild of a baking furnace and our European anode manufacturing plants, continued investment in billet casting capacity at Sebree and the completion of the restart at Hawesville. Depreciation is forecasted to be in the $85 million to $95 million range. From an income tax perspective, we expect both our book and cash impacts for U.S. income taxes to be less than $1 million while Iceland will be about 20% of 2019 income on a book basis but less than $1 million on a cash basis. As a reminder, Iceland taxes are settled one year in arrears. Finally, we expect our cash flow break even costs to be $ 1,800 per tonne. Please note that this is on a direct LME comparative basis. This concludes our prepared remarks. We'd like to thank you for your time and attention. I'd like to turn the call back over to Tanya to begin the question-and-answer session. Tanya?
Operator: Thank you. [Operator Instructions].And we will go to the line of Jeremy Kliewer with Deutsche Bank. Please go ahead. 
Jeremy Kliewer: Hi guys, how is it going?
Mike Bless: Hi Jeremy.
Craig Conti: Hi Jeremy.
Jeremy Kliewer: Just a couple of questions on your 2019 guidance. With regards Iceland, it looks like your plant cash cost have come down about $100 per tonne, this being Q2 to Q4. And you guys are largely using the same kind of assumptions that you were using last year. So I was just wondering what the big moving pieces are for that $100 per tonne change roughly $30 million of annual savings at your Grundartangi plant?
Mike Bless: So Jeremy, let's make sure I understand the question that's from Q1 to Q2 to Q4?
Jeremy Kliewer: No your Q2 to Q4 of your 2018 guidance was roughly $1,950 to $2,000 per tonne of plant cash costs and your 2019 guidance for the same time period is $1,850 to $1,900. So your plant cash cost has dropped about $100 per ton. However, your major inputs alumina and your carbon cost and stuff like that have largely remained the same. So I was just wondering, what is the other big moving pieces there?
Shelly Harrison: It’s truly a handful of things. So we do have alumina down just a little bit. In Iceland, we did purchase carbon anodes. We bake them at our facility in Europe. It's a little bit different exposures there than in the U.S. So we did see some improvement in carbon prices as well. There was also a labor component that we saw improvement year-over-year and then one other thing that I would note is that Grundartangi power prices are LME dependent and the LME in the prior-year forecast was higher than what's in today's presentation.
Jeremy Kliewer: Alright, thank you for the clarification. And then with regards to Sebree, you announced, I guess, the additional billet casting and some of the secondary melting towards the end of last year. So why isn't I guess the additional production coming through in 2019? It’s about 70,000 of the 90,000 tons of billet should be there and then only about 5,000 tons of the remelt capacity appears to be there.
Mike Bless: No, remember – a good question there, maybe you guys are misunderstanding Jeremy of the release that we put in a couple months ago. So that was 90,000 tons of incremental billet production, but taking away that was an increase in 90,000 tons in the final production of the plant. It was a much smaller number basically based on the remelt, before the remelt, which is a small number a couple 10s of thousands. It's simply a replacement of standard products with billet. So it's just an upgrading of the plants, product mix I guess I would say.
Jeremy Kliewer: Alright, thanks for the clarification.
Mike Bless: Sure.
Operator: Thank you. [Operator Instructions] Next we will go to the line of Lucas Pipes with B. Riley FBR. Please go ahead.
Lucas Pipes: Hey, good afternoon everyone.
Mike Bless: Good afternoon, Lucas. 
Lucas Pipes: I wanted to follow-up a little bit on the 2019 guidance and you provided us cash flow breakeven estimate of $1,800 per ton. And kind of just triangulating off of that figure, then I think you used $1,900 price assumption elsewhere. Is it fair to kind of conclude roughly $150 million EBITDA run rate or so for Q2 through Q4 again annualized run rate or which you maybe say my math is off somewhere. Thank you for your thoughts.
Mike Bless: Lucas, thanks. So let's just before I answer – we'll answer your question in a second. Just to make sure everybody is understanding the basis of presentation of the various numbers, so the breakeven is a little bit different, but the breakeven is a number that as you correctly said is sort of bottom, bottom line and it's meant, I guess if I were looking at it as a financial analyst to do a very quick, how many tones do they produce and where would the breakeven in essence be on directly LME equivalent basis. If you want to answer your question the way you would do it is you would build it up, so you would take Peat's and Craig took you through it.  Cash cost estimates for the US and Iceland, you’d use whatever LME assumption you like and you calculate, I guess I’d call it an EBITDA for each of Iceland and the U.S., from that you subtract SG&A, and if you go all the way to cash flow, CapEx, interest blah, blah, blah and there you get your the number, I think, you are seeking that’s the EBITDA number. To answer your question, if you were to crank using your number of $1,900 and the assumption that we have in there, if you've had a chance to look in the appendix we're using assumption just for this purpose of $350 for average API aluminum price for the quarter, you get something a little bit shy of the $150 that you cited, but in that zip code.
Lucas Pipes: Got it, okay. No that's very helpful. Maybe after we have some of the modeling out of the way, I appreciate all the color there and the clarifications. Can you share your thoughts on the direction of the market? There has been a lot of commentary in the industry about kind of global overcapacity and a lot of smelters losing money, especially in China, when would you expect to see a supply response on the aluminum side and why haven't we seen more as of as of today? Thank you.
Mike Bless: Thank you for the question. We completely agree with you. We've been waiting to see it. And you're quite right, we haven't seen tangible or very much evidence of it yet. And so our thesis has been exactly what you're suggesting, which is the price has fallen reasonably meaningfully over the last, let's call it three months. Why that is, is anybody's guess. I think most people would attribute it to the same reasons that financial markets in general and certainly risk assets in an oversized inspection field in the latter stages of 2018 is let's just call it macroeconomic concerns slowing, the economy is trading blah, blah, blah. And you saw metal really taking that risk assets including base metal taken outsized hit. That's starting to come back now as you've seen over the last couple of weeks, including today. You have seen some, as I said we haven't seen it tangibly. You've seen some capacity coming out, production coming off around the edges, I guess, we would say, Western Europe some in Spain, some in Germany not meaningful. You saw an announcement a quite significant one the other I guess it was just perhaps yesterday, that day prior from one of the largest individual smelters in the non-China world in South Africa. About a significant portion of the employee population, 40% of the employee population coming out, there was no related announcement on production capacity, but given our knowledge of how these plants are run, even if a plant is, let's say, not the most efficient one from a labor productivity standpoint, it's hard to imagine how one takes out 40% of the employees and maintains production. So I guess with apology for that long-winded answer, you're seeing a little bit of it, but not the wholesale or more meaningful response, economic response. And I guess the reason for that if you were to ask for a speculation frankly, it's the same reason we've been pointing to Lucas as with the problem here is that, as higher this production is buttressed by let's call it non-economic actors, ultimate share owners or other people providing risk capital, that don't have the same outlook or attitude towards that kind of thing that a quoted companies like ourselves would have. And so this is the problem. And I'll say it one more time that OECD report, which really is a very, it's quite detail, but think it has an executive summary at the beginning of it and it really couldn't have done a better job of setting forth the data and then the conclusion that we've been talking about over the last couple of years. 
Lucas Pipes: That's very helpful. Thank you for that.
Mike Bless: Thank you.
Lucas Pipes: And on the alumina side, I know this is in your slide deck just an assumption of $350 what is your kind of gut feeling on the alumina price in terms of market direction and what are some of the catalysts that you're keeping an eye on? Thank you.
Mike Bless: Yes, that's a great question. So right now we think it's basically sideways for the time being. It's going to trade and it has as you saw, you have a very large fall from $500, as Pete said is where it's going to – alumina that we purchased months ago, obviously that cash is already out the door. We've suffered the indignity of that. And that's going to flow through our financial statement in Q1, but that's behind us. And so you've seen it – since that fall, you've seen it kind of trade up and down within a relatively tight for alumina recently, a relatively tightening like $15 band give or take. We strongly believe, strongly believe with evidence that up our beliefs, so I'll get to that in a moment, that the fair value today basis the current aluminum price would in the very low 300's. We know that because we've been counter – we are counterparty to reasons transactions that have occurred with obviously sophisticated sellers, all the sellers in this market are sophisticated, that have priced the material on an LME percentage basis for later in this year at a price that at the current LME would equate to that kind of price, i.e. very, very low $300 a ton. And I think if you ask most industry participants obviously before the tragedy, the terrible human tragedy that occurred in Brazil, a couple weeks ago where people believe it was fairly headed – fairly valued and headed, people would have said low 300s to probably through 300s for a period of time. And so that's kind of a wide range between what we very strongly feel is the fair value and where it sits today. And obviously the catalyst to which you refer, I’m sure you – perhaps you're asking a loaded question is whatever development when they have out of Brazil and really the market's expectation more importantly for – when not if but, I think, when that might come. For now, the market is supplied on a physical basis, but of course, the marginal unit with that capacity out, significant capacity out, the marginal unit comes at a higher cost and therefore a higher price that's what moves the index up.
Lucas Pipes: Yes. Very helpful I appreciate all of the color and best of luck.
Mike Bless: Thank you for your questions.
Operator: Thank you. Next we, go to the line of Paretosh Misra with Berenberg. Please go ahead.
Paretosh Misra: Hi. Yes, thanks for taking my question. Can you talk about the production progression at Hawesville during the year from Q1 to Q4? When do you expect to hit the full production rated?
Mike Bless: Sure. Thanks. So, where we are right now is as we said as Craig and I each said we are within quite frankly weeks – not week but certainly within the weeks of concluding the restart of the line one which is the last of the three potlines that were curtailed in late 2015. And so at that point in time, you'll have a fine pipeline operation. As we said at the beginning of the restart project when we announced it last year as soon as we finished rebuilding and restarting those three lines, we have to turn our attention and restart and rebuild pardon me, the two lines that are well past their prime and have been for some time. Those lines haven't been rebuilt in many of those eight, nine and 10 years. As I think you know there's normal economic in service life of a reduction cell is, let's call it 1,800 to 2,000 days, so their way past their prime. So we'll take down the first line in the month of March and then what we haven't decided on yet and that's why the forecast that we gave you is just assuming that the line, just to make it simple right now, assuming just theoretically illustratively that the line was down for the entire year. That's what that production forecast at Hawesville assumes that 190x thousand tonnes assumes that you took it down and then didn't restart it and so of course that's not going to happen. We haven't yet, as I said decided on an exact rebuild schedule yet. We'll be making that decision over the coming weeks, if not months. So we'll be in a better position. Paretosh, to tell you exactly how that extra capacity will come back on but if you're modeling out what's in our slides right now, it's pretty straightforward. You're at a four – in essence of four line operation to make it simple, Craig and I guess for the entire second, third and fourth quarters.
Craig Conti: That's right.
Mike Bless: Just the reason we wanted to give you the most; A, conservative estimates, i.e. assuming that the line was down for the full year. That's just theoretical and B, from a modeling standpoint, make it easier to I suppose add from there rather than subtract from something else that we would give you, if that makes sense. Craig, you have anything else?
Craig Conti: No, I would say, I mean, so we have on Page 11, that's a 195,000 tonnes for the year in 2019. And just to fill in the math that filling in from 117,000 tonnes of output in 2018. And as you recall, we started the restart midway through 2018, so you're not getting a full-year of restart in there. The 78,000 incremental tonnes is what we're showing you today for 2019.
Mike Bless: And we'll have an update on this for you when we certainly by the time we announce, I guess something another two months, certainly by then.
Paretosh Misra: Got it, that's very clear. I appreciate that.
Mike Bless: Great.
Paretosh Misra: And then your cash flow breakeven aluminum price at $1,800 versus $1,875, that's what it was last year, at least in the last three quarters. So just in terms of what has improved, it seems like the cash tax is a bit lower and then you get the benefit of higher volumes at Hawesville, also some better fixed cost absorption. Alumina and maybe Iceland power cost lower is there any other thing big?
Mike Bless: You did pretty well there, but I'll let Craig.
Craig Conti: We got two or three biggest drivers. So you got the increased tonne, right, and that's the major driver coming out of Hawesville what you talked about, cash taxes year-over-year are reduction that we expect there and I think the larger one of all the ones that you mentioned, is actually you didn't mention, the largest would be the Midwest premium increase year-over-year. So we did see a significant increase from where we were last year.
Mike Bless: Even though, of course, the Midwest started to build early in 2018, you see obviously it’s there for the full year as you'll see when you look at the appendix our forecast or that estimates that we're using to buildup these cost estimates and breakeven, its below the spot Midwest just for some conservatism, but you do have a favorable year-over-year comparison.
Paretosh Misra: Got it, guys. Thank and good luck with everything.
Craig Conti: Thank you.
Mike Bless: Thanks for the questions.
Operator: Thank you. Next, we go to the line of Jeremy Kliewer with Deutsche Bank. Please go ahead.
Jeremy Kliewer: Just a quick follow-up. On your views for alumina, have you thought about backward integration or going for more contracted prices similar to what you announced back in 3Q?
Mike Bless: Yes. So absolutely and it’s not that we're thinking about it, which we continue to think about even and look at various options both perhaps Jeremy what not to read your words too closely, but in terms of actual ownership of assets and structural backward integration in various means or at least mitigation of the volatility of the index pricing and as we've told you, we've continued to fancy words. As we told you – we told you we intended to, we have continued to synthetically create the way the market used to price itself 100% which is LME referenced alumina, the two methods, one is direct contracting with counterparties who are still interested in selling LME percentage. And then the second is, as we've told you taking partial contracts that are priced in fixed dollars, not index, floating index, but fixed dollars and through simple derivatives i.e. forward selling of aluminum. It's not modest quantities and converting those to LME percentage. So that's a long-winded again answer to your question, yes. And we continue to believe that despite the fact that we blinders on over the last year, it’s almost a year ago to the day that Alunorte was forced to curtail half of its production. With blinders on you, you want to conclude, you want to be 100% captive backward integrated with whatever vernacular you want to use, we think the truth is somewhere in between, like in those things from a risk mitigation standpoint, you want some exposure to it, but we clearly and as I described in the past, this is one of our major strategic objectives here is to increase our ownership structurally or synthetically of alumina.
Jeremy Kliewer: That's great color. Thank you. And then further 200,000 tonnes or so of alumina that's kind of linked to the LME. Is that a sliding scale, so in 2020, when you pick up production or perhaps pick up production at Hawesville of another 50,000 tonnes or so, will that increase proportionately or is it kind of that 200,000 tonnes, is what it is in the remaining alumina supply will be linked.
Mike Bless: Yes, good question. Is that is what it is for 2019. For 2020, we are still constructing 2020, so I actually, A, would be speculating how it's going to come out in 2020. In 2020, I would think it would be at least that much. We're certainly not shooting for below, but I wouldn't speculate it at this point in time. We've got is – as we've told you some already done for 2020, in terms of the long-term five-year contract. And we've got more to go, so we'll update you on that, but clearly I hope you get the sense that we are focused on and working towards that end.
Jeremy Kliewer: Yes, that helps definitely. All right. Good luck guys.
Mike Bless: Thanks, Jeremy.
Operator: Thank you. Next we'll go to the line of Lucas Pipes with B. Riley, FBR. Please go ahead.
Lucas Pipes: Yes, good afternoon, again. Most of my follow-up questions have been asked at this point, but maybe I'll sneak a quick one in. The $150 million, slightly less than $150 million EBITDA that was referenced earlier, was that kind of Q2 through Q4 annualized or?
Craig Conti: Yes, yes.
Lucas Pipes: Perfect. Okay, great, I really appreciate it. Thank you.
Operator: Thank you. And next we'll go to the line of John Tumazos with John Tumazos [ph]. Please go ahead.
Unidentified Analyst: Thank you for taking my question.
Mike Bless: Hi John.
Unidentified Analyst: How are you?
Mike Bless: How are you, sir?
Unidentified Analyst: Good, good. Chinese outputs have been hard to figure out.
Mike Bless: Yes.
Unidentified Analyst: They produced 9.5% more aluminum metal in the fourth quarter in a year ago. Alumina Limited on their call last night theorized that the Chinese produced more because of the trade dispute from the U.S. to bargain from a different position. In January, the Chinese output fell from last year, maybe due to lower aluminum prices by 0.8% and world output fell by 1.1%. Do you think aluminum prices as of January already fell enough to cut supply and turn the market around?
Mike Bless: Yes, that's a great question. I mean you saw it bounce pretty reflectively when it went through $1,800 and started to toy with $1,780, $1,770, I forget what the low point was. I mean, John, that's a tough one. On China, we agree the data seem to be all over the place. We obviously watch them, the U.S. – tough imports coming to the U.S. which are down, which tells us that something is working out there. But we tend to – the month-to-month production figures coming from China. I don't know, maybe it's easy for me to just to dismiss it, it's hard to discern, it's a reliable
Unidentified Analyst: Their exports in January were one-third more than a year ago.
Mike Bless: Yes.
Unidentified Analyst: Full year last year rose 21% to another record.
Mike Bless: Yes, that's all downstream, that's all coming from downstream.
Unidentified Analyst: They don't need the metal they're producing.
Mike Bless: There is no question. If you're looking for a fight on that, you're not going to get it here. There's no question. John, I will share some data for you.
Unidentified Analyst: Thank you and good luck.
Mike Bless: Yes, thank you sir.
Operator: Thank you. [Operator Instructions] And speakers, we have no questions in queue. I'll turn it back to you.
Mike Bless: Again, thanks very much for the excellent questions and your attention and we look forward to speaking with you over the coming months. Take care all.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.